Operator: Good day, and welcome to this Tapestry conference call. Today’s call is being recorded. [Operator Instructions]  At this time, for opening remarks and introductions, I would like to turn the call over to Vice President of Investor Relations at Tapestry, Christina Colone.
Christina Colone: Good morning. Thank you for joining us. With me today to discuss our third quarter results as well as our strategies and outlook are Joanne Crevoiserat, Tapestry’s Chief Executive Officer; and Andrea Shaw Resnick, Tapestry’s Interim Chief Financial Officer. Before we begin, we must point out that this conference call will involve certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. This includes projections for our business in the current or future quarters or fiscal year. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Please refer to our annual report on Form 10-K, the press release we issued this morning, and our other filings with the Securities and Exchange Commission for a complete list of risks and other important factors that could impact our future results and performance. Non-GAAP financial measures are included in our comments today and in our presentation slides. You may find the corresponding GAAP financial information as well as the related reconciliations on our website, www.tapestry.com/investors and then viewing the earnings release and the presentation posted today. Separately, as we have started to anniversary the onset of the COVID-19 pandemic last year, we believe year-over-year comparisons are not fully indicative of business performance. Therefore, we will be providing financial information compared to both FY 2019, or pre-pandemic, and FY 2020, where applicable. Now let me outline the speakers and topics for this conference call. Joanne will begin with a brief recap of the third quarter for Tapestry in each of our brands. She will also provide an overview of the progress we have made on our acceleration program. Andrea will continue with our financial results and our priorities going forward. Following that, we will hold a question-and-answer session where we will be joined by Todd Kahn, CEO and Brand President of Coach. After Q&A, Joanne will conclude with brief closing remarks. I would now like to turn it over to Joanne Crevoiserat, Tapestry’s CEO.
Joanne Crevoiserat: Good morning. Thank you, Christina, and welcome, everyone. As you read in our press release, Tapestry reported a standout quarter, which once again outpaced expectations, reflecting the successful execution of our acceleration program and the power brands. Our sharpened focus on the consumer fueled new customer acquisition at Coach, Kate Spade and Stuart Weitzman, contributing to a continued sequential improvement in overall top line trends. Revenue growth in the quarter was led by robust increases in digital and China, two areas of meaningful long-term opportunity. In addition, for the third consecutive quarter, we achieved operating income and EPS gains, both compared to prior year and to pre-pandemic fiscal year 2019, supported by a reduction in promotional activity and higher AUR as well as disciplined expense management. We also generated significant free cash flow in the quarter, demonstrating our financial strength and flexibility. This performance is a testament to our talented teams around the world. Their creativity, agility and resilience have enabled us to effectively navigate a challenging backdrop and deliver for our customers, while positioning Tapestry to emerge from the pandemic stronger and build on our recent momentum to drive sustainable growth. Before turning to a discussion of our strategic pillars, I want to touch on the leadership changes we have announced in recent weeks. I’m delighted with the team that we brought together, which combines deep knowledge of our company with fresh perspectives as we position Tapestry to win in the dynamic retail and consumer environment. Todd Kahn, who was appointed Coach CEO, has a unique balance of brand stewardship and commercial capabilities and has done a tremendous job leading Coach and delivering exceptional results. Andrea Resnick is a proven leader who ensured that we successfully executed on our acceleration program as interim CFO, and we are excited that she will now assume a new role as Chief Communications Officer, where we know she’ll continue to make important contributions to our company. As such, Christina Colone, who has tremendous credibility and experience with the investment community has been promoted to Global Head of Investor Relations. Finally, I’m thrilled to have Scott Roe join us in June as Chief Financial Officer and Head of Strategy. With his extensive experience in consumer, retail and apparel businesses, as well as his deep expertise developing best-in-class global multi-brand platforms, I’m confident he is the right strategic business partner to further enhance our strategy and financial performance. With this strong leadership team now in place, we are galvanized around our shared commitment to fully realized Tapestry’s growth potential across brands as well as our passion for building a purpose-led organization with empowered inclusive and highly collaborative teams. Now I will discuss the important progress we have made advancing our acceleration program during the third quarter. First, we continue to create immersive customer experiences across our e-commerce and social channels, driving our global digital business to over $1.5 billion in revenue on a trailing 12-month basis, more than doubling in size from a year ago. During the quarter, we generated triple-digit e-commerce growth, bringing digital sales to approximately 30% of total revenue as compared to a mid-teens percentage last year. This growth was led by the recruitment of approximately 700,000 new customers across brands through our e-commerce channels in North America, where we are continuing to capture a growing number of millennial and Gen Z customers. And not only did we successfully recruit new customers, we also drove a higher purchase frequency versus prior year across brands. We also continued to reactivate lapsed customers across the portfolio. This reflects the work we have done to crystallize the unique positioning of our brands while strengthening our platform to better utilize data to support more targeted marketing campaigns. Overall, we remain incredibly excited by the digital opportunity and the scalable Tapestry omnichannel platform we are building. Digital is a key competitive advantage and a growth enabler for us long term, supporting both revenue growth and profit gains, particularly given that our digital business is accretive to our operating margin. Second, our ongoing efforts to sharpen our focus on the Chinese consumer led to significant growth in China as compared to both prior year and pre-pandemic levels. In fact, the strength of our results in Mainland China more than offset continued pressure from lower Chinese tourist spend with our sales-to-Chinese consumers globally increasing at a high single-digit rate compared to pre-pandemic levels. These results benefited from the integrated, comprehensive brand-building strategies, which drove innovative products, marketing and experiences. Third, we are strengthening our platform and changing the way we work to increase our agility and responsiveness. A key element of the strategy is embedding data across the organization, allowing each brand to leverage the shared resource to drive more effective decision-making. In the quarter, we utilized these capabilities to deepen our understanding of customer preferences and behaviors. This enhanced our processes, ultimately driving significant gross margin expansion and higher AUR, specifically by supporting optimized assortment planning, which helped to affect a 30% to 50% reduction in SKU counts across brands, resulting in higher productivity per SKU, driving inventory turn and providing clearer messaging to the consumer. And we leverage data analytics to drive more dynamic and informed pricing decisions, supporting lower levels of promotional activity. Overall, we believe the use of data is powering a shift in our culture, creating a robust test-and-learn environment that empowers our teams to move quickly to respond to changes in consumer preferences and demand. Fourth, we continue to drive operational efficiencies in our business. We further enhanced the flexibility of our operating model through the optimization of our global fleet. As you know, our focus is to improve profitability across our store network. We have made substantial progress. And in fact, the operating margin for our global bricks-and-mortar business exceeded pre-pandemic fiscal year 2019 levels despite the challenging backdrop. We see further opportunity going forward as we remain focused on delivering compelling omnichannel experiences with both digital and stores contributing to our success. This is clearly evidenced by the ongoing strength we are seeing in our digital channels even as our brick-and-mortar business improves. Overall, I’m very pleased with the continued improvements we have realized under our acceleration program. Based on our results to date and assuming a continued recovery emerging from the pandemic, we now expect to exceed pre-pandemic levels of operating income and EPS for the fiscal year, far surpassing our original expectations provided in August. Importantly, the changes we have made are foundational. As we embed a consumer-centric approach into our organization, unlock new ways of working and distort our focus to high-return initiatives, we are establishing sustainable growth drivers for Tapestry and our brands. Now let me touch on our results and strategies for Coach, Kate Spade and Stuart Weitzman. Starting with Coach, where results were once again impressive. Revenue exceeded our expectations with sales improving sequentially, increasing 25% as compared to last year and returning to pre-pandemic levels, an important milestone for the brand. In addition, we continued to significantly expand gross margin and leverage SG&A, resulting in strong operating margin expansion and substantial profit gains. There were many highlights from the third quarter guided by our strategic priorities, which drove our positive results. First, we delivered compelling and innovative products with a focus on reinvigorating key families that are foundational to the brand. In retail, we successfully built on our core icons, infusing newness that is resonating with consumers. We introduced Pillow Tabby, a fresh take on a bestselling family, which was very well received, particularly with new younger customers. We also launched extensions within the BEAT and Willow families, which outperformed plan. In outlet, we expanded the top-selling Georgi and Dense families to include new styles and fabrics, which performed well at higher AURs. Overall, we are building enduring icons, which respond to the emotional and functional needs of our target consumer and help to create a strong foundation for our product pipeline in future seasons. We also continued to deliver strong gross margin expansion through deliberate actions. As anticipated, we significantly reduced the number of SKUs in our offering across channels providing more focused, impactful assortments and clearer messages to consumers. Importantly, we also continue to be disciplined in our approach to promotions. Consistent with our strategy, we are shifting the customer’s focus to the value, attributes and quality of the Coach product. In fact, our handbag AUR rose over 25%, both globally and in North America. These results are not possible without great product. I want to take a minute to recognize our talented design and merchandising teams who, under Steward Weber’s creative direction, continue to deliver product innovation with a focus on quality that has infused energy and excitement into our assortments and delivered exceptional value to customers across all channels. Turning to marketing. We continue to build deeper customer relationships, leaning into our values of inclusivity and authenticity through our campaigns and digital content, which are driving increased engagement, recruitment and reactivation. Two key examples are Coach It Forward, which featured our global ambassador, sharing personal messages of gratitude and our YouTube series, Coach Conversations, which provided a forum to discuss culture, community and creativity and engage audiences through authentic dialogue. These campaigns increased engagement, creating buzz across social media platforms. In digital, Coach again realized triple-digit revenue growth. We recruited roughly 400,000 new customers through our North America digital channels, representing a significant increase compared to last year. These new customers who are increasingly younger are helping to fuel the strong growth we are delivering online. In addition to customer acquisition, we also focus on driving retention and lifetime value through a number of actions, including the recent launch of the Coach outlet loyalty program. Overall, we see significant runway to realize continued digital growth while improving our brick-and-mortar productivity. This is reinforced by the trends we are seeing in the business as stores have reopened. Specifically, in the U.S., we have seen continued strong demand online even amid easing restrictions and improving brick-and-mortar traffic. Moving on to China. Revenue on the Mainland rose significantly compared to last year and approximately 40% compared to pre-pandemic levels. In addition, we recaptured tourist demand through the China duty free channel as consumers increasingly shift to domestic travel. To celebrate the Chinese New Year, we featured a playful ox across our limited edition collection, which drove e-commerce growth, including on Tmall. As we previously shared, in February, we were the first luxury brand to launch an e-commerce platform on Dalian, the TikTok of China. Our results thus far, have well outpaced our expectations with the majority of customers transacting with us entering the brand for the first time. Now looking ahead to summer. We are building on our momentum into the fourth quarter with key product launches, while continuing to sharpen our merchandising strategy to deliver innovative and emotionally compelling collections. In retail, we are expanding our signature offering into new and bright color ways of jacquard to infuse optimism into the assortment. We are also excited for a new combination of our Signature C and horse and carriage logos, bringing together two icons on our best-selling beat and field families. In addition, to capitalize on trends in the market, we are introducing our Coach Originals in a new quilted version, named Coach Quilties, which will be offered in seasonal colors. Separately, following the success of our Pillow Tabby, we recently introduced a mini version, which is already off to a promising start. In fact, over the last three months, we have seen an increase in viral user-generated content on TikTok featuring the Pillow Tabby. In outlet, we launched a Disney Princesses collaboration in April, which is outperforming our expectations. And for Mother’s Day, we plan to deliver a floral-focused collection for the important holiday. Turning to marketing. We are excited to host a Winter 2021 collection runway show in Shanghai in June. We believe this will support our growth ambitions both in China and globally by driving desire for the Coach brand and broadening our reach through partnerships with a diversified group of ambassadors, celebrities and key opinion leaders. The collection will feature exclusive products for the Chinese market, and we’ll amplify the show through integrated guest experiences, including live streaming. In summary, we believe Coach’s return to pre-pandemic levels of sales and significant profit growth is a standout achievement, particularly given the challenging backdrop. We are building on this momentum and the foundational changes we have made this year as we head into the fourth quarter and beyond. We are proud to celebrate the brand’s 80th anniversary this year and are confident in the future. Now moving to Kate Spade. The brand again, outperformed expectations in the quarter from both a top and bottom line perspective, highlighting the progress we have made through strong execution. Revenue improved sequentially, increasing 1% compared to fiscal year 2020, which included a six point impact from the wholesale business, inclusive of the strategic pullback in the disposition channel. We delivered gross margin expansion of 150 basis points, well ahead of our projections, while also reducing SG&A, resulting in operating income growth and operating margin expansion versus last year. There are many key strategic milestones of the quarter, highlighting the traction we are making as we continue to fulfill the brand’s promise and build stronger connections with consumers, starting with product. In retail, we made further progress on rebuilding our core as exemplified through the strength of our recently launched families. The Knot Collection, which featured new colorways was particularly well received by our younger customer. We also expanded our signature platform, the Spade Flower, with the jacquard fabric continuing to outperform expectations. The success of these introductions supports our momentum and reinforces our ability to sustain higher AURs by offering differentiated, innovative designs. Additionally, our novelty assortment, which reflects a return to our roots, continue to resonate with our customers, notably our mailbox, crab and strawberry milk carton bags. In outlet, we saw continued traction in safiano leather styles. We also brought in new crossbody options in keeping with the hands-free trend. Importantly, we leveraged data to inform our assortment breadth and pricing strategies, reducing our SKU counts by over 40% and remaining disciplined in our promotions, which drove an increase in global handbag AUR in both our specialty and outlet channels compared to last year. Outside of handbags, we saw strength in footwear across channels. In fact, footwear delivered positive growth driven by casual flats and sneakers as we continue to build momentum into the summer selling season. In addition, tech accessories continued to outperform, while the launch of our new fragrance in North America outpaced expectations. These categories, which are foundational to the brand’s unique lifestyle positioning, are also important for customer recruitment and cross-selling. Turning to marketing. We drove brand heat, both through our lifestyle campaigns as well as organically on social media through our passionate Kate Spade community. To that end, we continue to drive organic engagement in the quarter with two more handbags going viral on TikTok from customer-created content. Following videos created post purchase, the Strawberry handbag and the Butterfly Wing crossbody have garnered approximately 12 million views to date on the platform with excitement spreading to other social channels. As a result, we saw increased site searches for these products, driving significant uptick in sales. This highlights the importance of social selling through the loyal and passionate members of the Kate Spade community. We also saw success with our first-ever male gifting campaign, which featured NBA star Kevin Love for Valentine’s Day and fueled an increase in conversion among male shoppers. We are excited by these greenshoots and are taking these learnings into our Mother’s Day campaign, which I will touch on shortly. Turning to digital. During the quarter, we continued to drive momentum online, achieving approximately 50% revenue growth through a combination of engagement with existing customers and the recruitment of new consumers. In fact, we attracted nearly 300,000 new customers through our e-commerce channels in North America, a meaningful increase compared to last year. Importantly, these customers entering the brand for the first time are purchasing at a higher AUR compared to the balance, highlighting the brand’s compelling value proposition along with a meaningful opportunity to build customer lifetime value. Additionally, we again reengaged lapsed customers at an increasing rate. During Q3, we reactivated over 100,000 customers through our North America digital channels, up approximately 40% compared to last year. This demonstrates our continued progress in strengthening relationships with our core customer. Turning to Kate Spade’s priorities for summer. First, our focus is on delivering product that supports our brand promise and anchors the assortment to our brand codes. In specialty, we are continuing to reenergize the core leather goods offering through animations within the Knot family. We will also feature newness in the Sam nylon bag, an icon of the brand. In outlet, we will continue to expand our core saffiano assortment. We will also focus on fun storytelling groups such as the Strawberry collection and the Butterfly bag, which, as mentioned, are off to a solid start and generating excitement on social media. Across channels, we will continue to evolve our novelty offering with playful picnic theme product aimed to drive emotional purchasing. In marketing, our approach remains multidimensional, utilizing a wide range of digital platforms and influencers to tell our brand and product stories to engage with consumers and our community. As I mentioned, we were pleased with the results from our first male gifting campaign in the third quarter. Therefore, we are applying the learnings to our Mother’s Day marketing, which features celebrities and athletes including Rob Gronkowski, Stephen Twitch Foss and Leslie Adam Jr. In addition, we are returning to marketing infused with storytelling, which is at the core of the brand’s DNA. In fact, the summer campaign will feature joyful videos highlighted by a spontaneous dance taking place in the middle of New York City. This content is dynamic and optimistic, well-timed with consumers’ increasing focus on celebrating the impending return to normalcy. Importantly, as announced in March, we redesigned Kate Spade’s creative structure, and the team is energized by this new way of working. We believe these changes will help to sharpen our focus on the consumer, drive innovation and increase collaboration. This builds on the brand’s heritage and strength as a storytelling brand with marketing and product design, developing and lockstep. In closing, I’m very encouraged by Kate Spade’s results in the quarter, which reinforced the progress we are making through increased clarity of the brand’s positioning and enhancements to our product and marketing, underpinned by a powerful platform of data analytics and digital capabilities. This is evidenced by new customer recruitment and lapsed customer reactivation as well as increasing handbag AUR and improving top and bottom line trends. I remain excited for the brand’s future and the meaningful opportunity we have to accelerate revenue and profit growth. Turning now to Stuart Weitzman. The brand demonstrated continued progress through the execution of the acceleration program. Total revenue rose 13% compared to prior year, led by growth in China. This growth was partially offset by softness in wholesale, which included the negative impact of shipment timing into the fourth quarter as well as headwinds related to market exits and unprofitable store closures. Importantly, our strategic actions resulted in a significant operating margin expansion compared to both fiscal year 2020 and fiscal year 2019 as we continue to focus on restoring the brand’s profitability. During the quarter, we remained focused on building relevance within the assortment. In keeping with market trends, elevated casual products represented the majority of our offering. We expanded on proven, successful product families in brand codes, namely the evolution of the 50/50 boot, the return of the jelly with the Sawyer sandal and the expansion of our signature Pearl embellishments with the Goldie family. At the same time, we reduced SKU count by over 50% globally, driving higher productivity and clearer messaging to our consumers. In digital, revenue increased over 50% compared to prior year as we leverage the Tapestry platform and sharpened our focus on creating relevant assortments to engage with our core consumers. As mentioned, China remained a significant area of growth for the brand, increasing over 130% compared to fiscal year 2020 and approximately 45% versus pre-pandemic levels. This performance was driven by strong growth in new and younger customers, which supports our confidence in the long-term potential for the Stuart Weitzman brand in China. Touching on global marketing. We generated brand heat with optimistic marketing messages. Most notably, our campaign featuring Serena Williams and her daughter, Olympia, was a huge success garnering over 8 billion impressions, making it the most impactful campaign in the brand’s history. In wholesale, we continue to strengthen our partnerships with key accounts. We were pleased with our reentry into 90 Nordstrom doors in the quarter, including an expanded assortment in the top 20 locations. Looking ahead to summer. In product, we are well positioned with a focused assortment, which will emphasize dress styles, including a range of sandals and pumps along with our bridal collection. As we have shared, we expect an increase in vaccine distribution to drive an improvement in demand for these key categories, and we have adjusted our offering to reflect this shift. At the same time, we will continue to provide balance with newness in our casual assortment to address the ongoing trend in the market. In marketing, our upcoming campaigns are focused on key product messages, including our espadrilles, bridal and limited edition capsules. We are also prioritizing investment in upper funnel activities aim to recruit new customers into our full-price channels. And in China, we are continuing our successful live streams with daily events planned, which will feature an array of hosts, including our sales associates and KOLs, such as Austin Lee, to build emotional connections with our customers. Overall, we have made important progress at Stuart Weitzman, and we remain focused on restoring the brand’s profitability. In closing, at Tapestry, we are increasingly optimistic about our ability to generate sustainable top and bottom line growth building on our performance to date. Looking forward, while the environment remains volatile, we see encouraging signs of recovery as vaccination efforts progress resulting in increased consumer confidence, strong demand for our categories and improving in-store traffic trends. In this context, we remain focused on driving brand relevance and customer engagement through product innovation and compelling marketing, supported by data-driven insights. We will also continue to lean into our competitive advantages, including our globally diversified direct-to-consumer model and distort investments to high-growth opportunities. We are confident that our clear consumer-centric strategy, powerful brands and differentiated scalable platform uniquely position us to capture market share at higher levels of profitability. With that, I will turn it over to Andrea for a detailed discussion of our financial results and outlook. Andrea.
Andrea Resnick: Thanks, Joanne, and good morning, everyone. Before I begin, please keep in mind that my comments are based on non-GAAP results. Corresponding GAAP results and the related reconciliation can be found in the earnings release posted on our website today. As Joanne mentioned, our performance in the third quarter and year-to-date was well ahead of our expectations as we drove operating income growth ahead of both FY 2020 and FY 2019 levels despite the volatile backdrop. Total sales increased 19% from the prior year and well-outpaced our projections. Compared to FY 2019, revenue declined 4%, representing a sequential improvement from the prior quarter. Importantly, we were pleased with Coach’s returned to pre-pandemic levels of sales in the quarter. By region, North America drove the improvement compared to the prior quarter on a 2-year basis as trends accelerated across stores, e-commerce and wholesale channels. In addition, the region achieved sales in line with FY 2019 despite continued store traffic pressures. In Asia, direct sales increased approximately 40% compared to FY 2020 and were in line with FY 2019, fueled by significant gains in Greater China. Across the balance of Asia, sales remain below pre-pandemic levels with notable pressure in Japan given the declaration of a state of emergency during the quarter. Europe, while a small portion of our total sales experienced a material slowdown in the business given the significant increase in lockdowns in accordance with government regulations. By channel, performance was driven by another quarter of triple-digit growth in e-commerce as we continue to build our digital platform and capabilities, which enable us to lean into the opportunity to meet the consumer wherever they want to shop. In our global bricks-and-mortar channel, while revenue pressures continued, we were pleased with the trend improvement compared to the prior year as traffic levels started to recover, aided by the dissemination of the vaccine. In wholesale, while the channel remained below prior year and FY 2019, trends improved, reflecting, in part, the significant growth of our duty-free business in China’s Hainan province. Importantly, our momentum continued into April, and as Joanne mentioned, we are increasingly confident in the trajectory of our business as the consumer backdrop improves. Moving down the P&L, we realized another quarter of strong gross margin expansion compared to prior year with all brands exceeding our expectations. Tapestry’s gross margin rose 450 basis points year-over-year and 240 basis points compared to FY 2019 as we successfully executed our strategy to maintain price discipline, reduce SKU counts and leverage data analytics to tailor our product assortment and marketing messaging to the consumer. Coach drove the total company margin increase in the third quarter, realizing gross margin 490 basis points above last year, driven by lower levels of promotion and higher IMUs, resulting in higher AUR. At Kate Spade, gross margin rose 150 basis points, which included a benefit from the strategic pullback in lower-margin disposition sales along with lower levels of promotional activity in North America. For Stuart Weitzman, the brand’s gross margin was 420 basis points, reflecting a tailwind from FX as well as a geographic mix benefit due to the strong growth in the high-margin China business. SG&A declined 3% year-over-year and 6% compared to FY 2019, primarily reflecting effective expense management and the previously announced actions to transform the company’s operating model. The savings from these structural changes were partially offset by reinvestments in the business, notably higher marketing spend and an increase in our annual incentive plan expense accrual given our outperformance year-to-date. Taken together, we delivered the third consecutive quarter of operating income growth and margin expansion compared to pre-pandemic levels in the face of the challenging backdrop. Our outperformance in both the third quarter and year-to-date reflect the foundational changes and strategies we have made as part of our acceleration program highlighted by efficiency-led profit growth through increases in gross margin and reductions in SG&A. Looking forward, we believe we can fuel continued momentum across our brands and are well positioned to transition the company to a period of demand-driven gains, fully unlocking the flywheel of sustainable long-term growth. Earnings per diluted share for the quarter was $0.51, a significant increase compared to a loss in the prior year and 21% ahead of pre-pandemic EPS levels. Now moving to distribution. We continue to optimize our global fleet to prioritize profitability. For Tapestry, we closed a net of 49 locations globally year-to-date, including 31 net closures in Q3 alone, representing a net of 94 closures as compared to the prior year. Turning to our discussion of our balance sheet and cash flows. We ended the quarter in a strong position with $1.7 billion in cash and equivalents and total borrowings of $1.6 billion. Consistent with our stated near-term priorities and as previously shared, we utilized our free cash flow to pay down the remaining $200 million balance on our revolver at the beginning of the quarter. Therefore, at this time, there are no longer any borrowings outstanding under our revolver. Total inventory ended the quarter 18% below last year, reflecting, in part, deliberate actions to reduce SKU count and prioritize inventory turns. Due to our sales outperformance in the quarter, the IMU inventory balance was below our expectations. As previously discussed, like many others across all industries, we are experiencing some continuing distribution network disruption related to COVID-19, causing shipping capacity constraints and port congestion globally. As a result, we are experiencing longer lead times, which, in turn, have delayed the timing of receipts notably for product coming in through West Coast ports and may limit our ability to chase higher levels of demand going forward should it materialize. Separately, the widely reported Suez Canal blockage will have a modest impact on our fourth quarter results. In addition, we expect to continue to incur higher freight costs due to the environment. Importantly, these factors have been contemplated in our outlook, which I will address shortly. CapEx for the quarter was $19 million, a decline of 62% versus prior year as we continue to prioritize investments in high-return projects, notably in digital, while tightly controlling overall spend and reducing our outlay for new stores. We now expect CapEx to be in the area of $100 million for FY 2021 based on our favorable year-to-date actualization and the timing of capital projects. Free cash flow for the quarter was an inflow of $179 million, as compared to an outflow of $166 million last year. On a year-to-date basis, free cash flow was an inflow of $876 million versus $273 million during the same period a year ago, and $418 million year-to-date in FY 2019. Our strong cash flow generation underscores the resilience and effective management of our brands and business. Now touching on our capital allocation priorities. As noted, the strength of our business and resulting free cash flow generation positioned us to pay down our revolver as of January. In the near term, we will continue to preserve our cash on hand while reinvesting in the business. Longer term, our objectives remain unchanged. Our strategic intent is to return to sustainable top and bottom line growth driving continued strong free cash flow generation, which will enable us to pay down debt as well as return capital to shareholders. Now turning to our outlook. As noted in our release, given our strong performance year-to-date and assuming a continuation of the recovery from the pandemic, we now project revenue to increase the mid-teens rate on both a 52-week and 53-week basis for the fiscal year. This includes the expectation for fiscal fourth quarter to sales to increase in the area of 110% as compared to prior year, thereby approaching FY 2019 levels of revenue on a 13-week basis. As previously mentioned, the fourth quarter will also include the impact of an additional week, which is projected to contribute approximately $100 million in incremental sales. Turning to gross margin. We continue to expect significant expansion for the full year, reflecting our deliberate actions to lower promotional activity and drive higher AUR. Consistent with our original expectations, we anticipate moderate fourth quarter gross margin pressure compared to prior year due to geographic mix headwinds as we anniversary the atypical comparison due to COVID-19. That said, this forecast implies that gross margin will be meaningfully above pre-pandemic levels. Touching on SG&A, we continue to estimate that we will realize approximately $300 million in gross run rate expense savings, including approximately $200 million in gross savings in FY 2021 alone. This reflects the steps we have taken to aggressively control spending and implement structural changes to drive efficiency. Keep in mind, given our incremental investments and the increased level of variable costs associated with the higher sales forecast, we would expect our net savings to be substantially lower. In Q4, we are projecting SG&A to increase over 40% on a 13-week basis versus FY 2020, reflecting higher investments, notably in marketing as well as the impact of lapping depressed expense levels from a year ago as a result of COVID-19, which included the benefit from the cancellation of the company’s annual incentive plan. Taken together, we are now expecting EPS to exceed pre-pandemic levels on a 52-week basis. This reflects our outperformance year-to-date as well as a more favorable outlook for the balance of the year given our confidence in the ongoing benefits of our acceleration program, the improving consumer backdrop as well as the traction we are seeing in the business today. In closing, we are proud of the results we have achieved despite the volatile environment, demonstrating strength of our iconic brands and the bold and deliberate actions we are taking as part of our acceleration program. Throughout this year, our results have been driven by efficiency-led gains. As we turn the corner and look towards recovery from the pandemic, we have an opportunity to fully unlock the flywheel to drive bottom line growth in excess of top line gains over our planning horizon. We are confident that the foundational changes we have made during this fiscal year will benefit our platform over the long term, and we remain steadfast in our strategic intent to drive both organic growth and profitability. Thank you. I would now like to open it up for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Bob Drbul of Guggenheim Securities.
Robert Drbul: Just got a couple of questions. You mentioned signs of a recovery. What are you seeing in the backdrop that does give you the increased confidence generally? And then, on a related point, how’s your digital business performing now that the in-store traffic trends are improving. Are you seeing any signs of cannibalization?
Joanne Crevoiserat: Yes. A couple of points I will cover there in your question. First is around our confidence. I will also touch on what we see in the backdrop and then how we see our digital business evolving. But starting with confidence, we have increasing confidence in our Tapestry platform. We see it as a competitive advantage. We are also gaining confidence in the power of our brands and the potential that we see in the acceleration program, including the execution from our talented teams around the globe. Our year-to-date results have definitely increased our confidence in the strategy despite the volatile backdrop, our teams continue to deliver, and we are building a foundation for sustainable long-term growth. We are getting closer to the consumer, remaining into digital and leveraging data in better ways, and we have a streamlined operating model. But we are also seeing the backdrop improve. We are seeing encouraging signs of recovery, we have seen vaccination efforts progressing, resulting in increasing consumer confidence, strong demand for our categories and improving in-store traffic trends. And I think to your question that begs the question of what do we see in digital with those increasing trends? And our approach to our digital business is really being laser-focused on meeting the consumers where they want to shop. We are focused on the omnichannel experiences with digital and stores contributing to our success, and that is an important qualifier. Digital, we see as an and, not an or. We are acquiring new younger customers through these channels. And we are seeing the ongoing strength of our digital business, even as stores begin to reopen and traffic begins to build back to historic levels. We have seen another quarter of triple-digit growth, while also driving sequential improvement in store trends. So we are encouraged by that performance as we see traffic starting to come back - I should say, starting to come back. But let me talk with Todd, he can give you a little bit of color on what we are seeing specifically at Coach.
Todd Kahn: As Joanne mentioned, we have been seeing significant runway to realize our continued growth while our brick-and-mortar productivity is improving. Specifically in the U.S., we continue to see incredibly strong demand online, even as we see restrictions and improving brick-and-mortar traffic. This is supported by the fact that our new customer recruitment has fueled our strong digital growth. In fact, as Joanne mentioned, in the quarter, we added another 400,000 new customers from our e-commerce platforms, bringing the year-to-date number of new customers from these channels to two million in North America. And what is really encouraging, of these two million, approximately half are Gen Z and millennial. And then when I return to brick-and-mortar, if I take Texas as an example, we experienced a significant acceleration in our store sales trends, while, at the same time, we see the restrictions being lifted. And while those restrictions are being lifted, our digital traffic and demand trends remain strong. So this bodes really well for our future as we see a return to traffic in North America brick-and-mortar.
Operator: Our next question comes from the line of [indiscernible] of Wells Fargo.
Unidentified Analyst: Congrats on another great quarter. I guess, my question was on profitability in e-commerce. Joanne, you talked about digital being accretive to the operating margin, which is pretty unique and a great sign for the business. As digital continues to increase, where do you see penetration rates moving? And then, what does that ultimately mean for the margin structure of both Coach and the Kate Spade businesses over time?
Joanne Crevoiserat: Yes. Thanks for the question, Ike. We do see the digital business being accretive to our operating margins currently. Our digital business is quite profitable. It is structurally more profitable than their respective bricks-and-mortar channels. And it is really a function of the fact that we have structurally higher AURs, high margins and relatively low returns in that channel. So we consistently deliver higher margins through our digital performance. And I think it is also important to mention that for, as Todd said, recruiting new customers and engaging new customers through our digital channels. So that makes the channel accretive as well. And in terms of where we see the penetration going, ultimately, the customer will decide. We are very focused on meeting the customer where they are. And I think we have been innovating quite well in terms of our ability to engage consumers, both digitally and on social channels with real innovations on TikTok, as an example, capturing customers where they are today. And we are committed to staying close to the customer and seeing how that unfolds. Having said that, our brick-and-mortar business, also, we are really pleased to see the operating margins of our brick-and-mortar business this quarter achieve pre-pandemic levels - exceed pre-pandemic levels this quarter. So that also bodes well for our business, really driven by the gross margin gains that we have seen. And we expect that as traffic builds back, those numbers will also improve. So we see digital as accretive where it lands in terms of penetration. Ultimately, the customer will decide and we are focused on driving improved profitability in our brick-and-mortar channel as well.
Operator: Our next question comes from the line of Erinn Murphy of Piper Sandler.
Erinn Murphy: Great. Congratulations to all of the promotions there. Joanne, I was hoping you could go a little bit deeper in the comment you made about the lapsed consumer coming back. Which brands currently are you seeing the biggest influx of a lapsed consumer? And then, what strategies do you have at place to keep them?
Joanne Crevoiserat: Yes. Thanks, Erinn. The work that we are doing to stay closer to our consumer and the work in data and analytics is really helping us unlock, not only the recruitment, which we are seeing across brands, but also the reengagement of lapsed consumers. And while we are seeing that across all of our brands, we have an important focus, particularly in Kate Spade and Stuart Weitzman, to ensure we reengage as we clarify the positioning of those acquired brands to reengage that last customer is critically important. And it shows that we are making traction speaking to our core customer. And we have been really pleased with the work that is happening there and the traction we are seeing. But also, as we get better at recruiting and better leverage data and implementing some of the tools and technologies and marketing, it really is about taking our customer database and driving more active consumers, recruiting more, retaining more, bringing them back with higher frequency, which you heard us talk about, we are very focused on driving that activity, increasing retention and ultimately increasing lifetime value.
Todd Kahn: And I just can add for the Coach brand, one of the tools that we are so pleased with is our launch of the Coach Insider program, a loyalty program. And what we are seeing is that members of the program, their frequency is 25% higher than nonmembers. So that really bodes well as the tool, as Joanne says, to get closer to the customer, understand what customer needs are and provide them with reasons to keep coming back to the brand.
Operator: Our next question comes from the line of Oliver Chen of Cowen.
Oliver Chen: You made a lot of progress in Coach outlet. As you anniversary the direct marketing with respect to the Coach outlet customer and broadcasting that, what are your thoughts on innovation year-over-year in terms of what you are doing, and the rationale for the outlet loyalty program? I would also love your thoughts on sustainability on the metrics you are focused on, as well as what you are seeing from a customer point of view as you think about continuing to make progress there?
Todd Kahn: I think I will take that, Joanne. So your first question, we are really pleased as we anniversary sort of our reimagined coachoutlet.com and we continue to see strong demand. And as I indicated in the last question, one of the tools is our ability to bring them into the Coach loyalty program. And I think that will bode really well. On sustainability, Joanne can talk about the Tapestry sustainability, but I see this as a really interesting opportunity for the Coach brand. As an 80-year-old brand, particularly one grounded in leather, we have opportunities to talk in a really authentic way about sustainability. And we have done some interesting things. On Earth Day, we brought forward a handful of bags, which we call reloved, which were bags that were literally returned, unusable over many years, we couldn’t repair them. And what we did was our designers and our workshop reconstructed them basically. And the bags that we put up online on Earth Day is sold out in an hour. And the demand for them were incredibly strong. So as we start thinking about and talking about sustainability and what it means for each of our brands, particularly at the Coach brand. I see opportunities in this relove concept, something else we have done, which is basically taking scraps and turning it into a weave that creates an entirely new handbag. So I think you are going to see us do some really interesting and innovative opportunities. I think, turn out to Joanne [indiscernible] sustainability issues?
Joanne Crevoiserat: Sure. Thanks, Todd, and I appreciate the question, Oliver. We are very focused on sustainability as part of the fabric of our company. We call our sustainability program our social fabric. And it really incorporates three pillars around our people, our communities and our planet. And some of the metrics that we are driving and focused on, under our people, we are very focused on representation across the organization and in leadership, and fostering an inclusive environment, one that is equitable, inclusive and diverse. We have goals internally focused on those actions. And also, around our communities, we are working to drive meaningful positive change in our communities through our empowerment programs, through financial donations and product donations and also volunteering and increasing the impact that we can have around the world and the communities where we live and work. And then finally, on our planet, we are focused on reducing our impact on the environment. Todd mentioned some initiatives within the brands. But across our supply chain, we are focused on reducing our carbon footprint, increasing traceability, there is some interesting work that the team is doing around traceability, and increasing our use of environmentally preferred materials. So we are making progress, we are incredibly focused on it, and fundamentally important part of our company.
Operator: Our next question comes from the line of Matthew Boss of JPMorgan.
Matthew Boss: And congrats on the nice quarter. So could you maybe help break down the overall AUR opportunity remaining from here, meaning, where do we stand today relative to maybe to prior peaks? And what inning do you see each of the brands in today as we think about the SKU reductions, promotional activity and overall pricing power remaining from here?
Joanne Crevoiserat: Yes. Let me kick this off and then pass it to Todd, who can give more color on the Coach brand. But across our brands, we have made progress in AUR. And it is really a function of our acceleration program and how effective we are in getting closer to our consumer and delivering product that resonates with them. And also, some of the work that we are doing foundationally, the better leverage data in our decision-making. So our streamlined assortments, our improvements in inventory turns, our ability to allocate those assortments where they’ll be most productive, those are all contributing to our AUR growth. But we do see opportunities across all of our brands, and we are encouraged by the AUR growth that we posted at Kate Spade this past quarter as well, both at retail and at outlet, showing that the product that we are delivering is resonating with our consumers. But I will pass it to Todd to talk about the Coach progress as well.
Todd Kahn: Thank you. Yes, we are very focused on the AUR, and we are pleased with the progress we have made in this quarter and the progress we have shown all year. In the third quarter, our handbag AUR rose approximately 25%, both globally and in North America. And as Joanne indicated, so much of this is deliberate actions that we have taken about how we are looking at things differently. First, it starts with incredibly strong innovative product led by Stuart Dever’s creative direction. We then couple that with using data to inform our decision-making and really, really put the consumer at the center. And the SKU reduction is helping driving AUR. And let me give you a quick example. If you take Tabby, which right now is our #1 family in our retail fleet, Tabby originally launched in July of 2019. Entire years, what would have happened by the time we got to February of 2021, we would have been bored with it and tired and moved on. Instead, we recognize what an iconic family we have, and we relaunched it with Pillow Tabby, bringing the entire Tabby family back to the number one position in our fleet. So this elongation and - of the life cycle of an iconic family helps us raise our AURs, helps us reduce our SKU counts and helps create greater gross margin and profitability. And I think you are going to see us do that over and over again.
Operator: Our next question comes from my line of Mark Altschwager of Baird.
Mark Altschwager: Congrats on the strong quarter. I guess, a couple of questions for me on margins. I guess, first, how should we be thinking about the sustainability of the low 30s EBIT margin at Coach? And what opportunities do you see for a greater level of reinvestments in 2022? And then, similarly Kate Spade, just with where you are with the recovery? Are there creative changes? Near term, any thoughts on a reasonable range of expectations for 2022? And just longer term, structurally, what do you think that branch would look like relative to what Coach has achieved here recently?
Andrea Resnick: Sure, Mark. I will take that. I have got to say, we are thrilled with the progress we have made in 2021. And as you know, based on our outlook, we are projecting a high teens operating margin for Tapestry, which was above our previous peak as a house of brands, if you will, despite this volatile backdrop. And that is really been accomplished through the focus on the consumer, leveraging digital and data and transformation into a leaner organization. And we feel we are exiting the pandemic even stronger positioned to take market share at higher levels of profitability. We are not providing detailed guidance by brand. But to your point, Coach, this year, will already be at a best-in-class op margin in and around 30-ish percent. And we still think that we’ll have digital and China being the revenue drivers. So our opportunities at Coach are really around opportunity to grow the top line and maintain attractive margin. These are excellent margins already. Kate Spade, where we have clarified our brand position and better execution to deliver for our customers, we have an opportunity to drive both top and bottom line growth. I think we are in, I would say, early innings, and this will be a meaningful Tapestry growth driver over the planning horizon. And then lastly, when we look at Stuart Weitzman, our priority there has and continues to be a return to profitability, and we are making great progress. We are leaning into our strength in China, which obviously has very strong margins, we have exited quite a number of unprofitable doors and geographies, and we have strengthened our position in North America, including in wholesale. So as we have said, we expect to achieve higher margins or bottom line to exceed top line over our planning horizon and feel very good about that.
Joanne Crevoiserat: And Mark, I will just add to Kate Spade. We still have tremendous confidence in the long-term potential of the Kate Spade brand. And you asked about the product changes. I think Liz and team are doing a fantastic job. And the creative team is really energized by this new way of working. They are focused on the Kate Spade consumer, they are driving innovation, increased collaboration across [indiscernible], product development and marketing and it really builds on the story telling heritage of the brand. So we are excited to see that continue to develop, both in Q4 and beyond and continue to have confidence in the long-term potential of Kate Spade.
Operator: Our next question comes from the line of Lorraine Hutchinson of Bank of America.
Lorraine Maikis: I just wanted to hone in on the gross margin line item and just to ask you how the gains you’ve made during the pandemic have shaped and changed your long-term outlook for gross margins at both the Coach and Kate Spade brands? And maybe talk through some puts and takes around AUR, geographic mix, AUC, where do we think will shake out over the long term for both brands?
Joanne Crevoiserat: Let me start and pass it to Andrea on some of those details. But I would say that the work we have done under our acceleration program gives us more confidence in maintaining and sustaining our gross margin performance, getting closer to the consumer and leveraging data in new ways and driving healthy growth. Everything that we have done from staying close to consumer and acquiring new customers, to leveraging data on our SKU count, as I mentioned earlier, and managing our assortments and driving inventory turn as well as better leveraging data and new marketing tools to reach our customers in new ways is allowing us to drive healthy growth for all of our brands. And I would say that is a focus. But I will pass it to Andrea to go through some of the puts and takes.
Andrea Resnick: Thanks, Joanne. I think when you are looking at our overall gross margin, and Joanne and Todd alluded to this, we see where we are at Coach as a sustainable gross margin given the ability for us to reduce promotions, we have controlled the SKU count, et cetera. So when we look at all of those factors taken together, we feel that Coach’s gross margin, which we used to say was going to be in the area of 69% to 70%, ad infinitum, can stay at these higher levels. I think you are absolutely right when you are looking at Lorraine at the upside to the gross margin will primarily now come from Kate Spade, where we are, as I mentioned, in the early innings. We do have the benefit of China growing for all of our brands and having that be this gross margin anywhere in the world, and that will continue. So I think the combination of both the focus on lower promo, higher AUR across brands as well as the change in the geographic mix will help overall Tapestry gross margin sustain and perhaps rise. But again, I think where we are with Coach is definitely best-in-class, and we do believe it is sustainable.
Operator: And ladies and gentlemen, we have time for one more question. Our last question will come from the line of Michael Binetti of Credit Suisse.
Michael Binetti: I guess, Joanne, I guess, to kind of dovetail off the questions on gross margin as you look ahead to next fiscal year. I mean, maybe, Andrea, is it safe to assume that given where inventories are for the whole industry and promotional levels being so low right now, there might be some level of give back on the gross margin in total next year? Is that consistent with how you would think about it as promotional levels normalize to some extent? I guess, and then, Joanne, on some of the new customer metrics you gave and related to Todd’s comments earlier about Texas. Maybe just a little thoughts on that new customer. I think you said last quarter, the big holiday quarter, there was 1.5 million new customers, a really big number and a little bit of time has gone by with that customer. I’m curious if you have any insights where that customer came from and any kind of early indications of repeat levels with that customer, what you are learning about that customer relative to old cohorts. I’m assuming your competitors that, that customer came to you from are trying to do similar things with reactivating lapsed customers, too? So any insights there on how sticky that is would be very helpful.
Joanne Crevoiserat: Yes. So just a quick comment on gross margins and the environment. We have developed new levers and a new way of working, staying closer to our consumer to help us maintain these margins. We are getting smarter about how we approach our assortments. I have mentioned a few things on the call already. But at the end of the day, there is more in our control than what is out of our control. And we see increasing confidence. We have increasing confidence in our ability to manage and control our own fate as it relates to managing our margins, managing our AURs and managing our business. So we, as Andrea mentioned, believe these margins are sustainable given the confidence we are building and our execution behind the levers of our acceleration program. And then as it relates to customer metrics, that is where our focus is. We are increasingly recruiting new customers. These customers are increasingly younger. And we have maintained a very robust database of customers over many years. So we know that these are customers are new to the brands. And again, the fact that they are increasingly younger really bodes well for the long-term health of our brand. And to your point, we are focused on driving lifetime value of these customers. We are seeing these customers repeat at higher frequency. And again, that is a result of the work we have been doing through our acceleration program, leveraging data, new marketing tools, staying close to our consumers, building relevant product and marketing stories. Some of the focus in our assortments also helps, telling better, stronger stories for our consumers. So we have increasing confidence in our ability to continue to drive, not only our business forward as is margins, but also continue to drive lifetime value for our customers over time.
Operator: Thank you. That concludes our Q&A. I will now turn the call over to Joanne Crevoiserat for any concluding remarks.
Joanne Crevoiserat: Well, thanks, everyone, for joining us today. Our standout results for the third quarter reinforced the deliberate actions we are taking under our acceleration program and the strength of our global teams. We are demonstrating meaningful progress and have a clear strategy and a differentiated platform, and we are emerging from the pandemic stronger and increasingly confident that the foundational changes underway are focused on the consumer use of data and analytics and optimized structure and ways of working can support stronger connections with our customers and sustainable growth for Tapestry and our brands. Again, I would like to thank our teams around the world for their contributions in delivering our strong third quarter results and all of you for your continued interest in our story. Thank you, and have a great day.
Operator: Thank you everyone. This does conclude today’s conference call. You may now disconnect.